Operator: Good afternoon, ladies and gentlemen, and welcome to the LiveRamp's Fiscal 2021 Fourth Quarter and Fiscal Year-End Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Lauren Dillard, Chief Communications Officer.
Lauren Dillard: Thank you, operator. Good afternoon and welcome. Thank you for joining us to discuss our fiscal 2021 fourth quarter results. With me today are Scott Howe, our CEO; and Warren Jenson, President and CFO. Today's press release and this call may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially. For a detailed description of these risks, please read the Risk Factors section of our public filings and the press release. A copy of our press release and financial schedules including any reconciliation to non-GAAP financial measures is available at liveramp.com. Also during the call today, we will be referring to the slide deck posted on our website. At this time, I'll turn the call over to Scott.
Scott Howe: Thank you, Lauren. Good afternoon and thanks for joining us today. In preparing for this call, I reflected back to the last time we spoke when our stock price was hovering around $80, what a difference three months can make and have reflected on the old Benjamin Graham quip that states within the short run, the stock market is a voting machine, but in the long run, it is a weighing way machine. Given this I wanted to focus my remarks on three specific investment themes: our strategic position, our top-line growth prospects and our operating characteristics. Each I feel like we are even better positioned than when we last spoke. First, our strategic position. While there is now widely accepted that the ability to interpret, enhance and activate data is a critical and enduring component of most company's success. The past 12 months witnessed significant change in the data ecosystem. Google affirmed its intention to retire third-party cookies, Apple instituted changes to IDFA and regulation throughout the world placed heightened emphasis on consumer privacy, transparency and choice. Our clients and partners look to LiveRamp to determine how best to navigate this changing landscape and we believe industry complexity further enhances our strategic position. For example, recognizing that cookies were an antiquated technology, LiveRamp began developing an alternative for the industry, the Authenticated Traffic Solution, or ATS, several years ago, given its widespread adoption, better performance, global reach and privacy first approach, we're now finding that our Authenticated Traffic Solution represents a key differentiator in virtually every client conversation. ATS is critical in our new logo efforts where we once again posted some meaningful wins and also has the potential to capitalize even greater adoption of our platform while we do not intend to charge publishers or our media platform partners for use of ATS. Over time, we expect the Authenticated Traffic Solution to drive increased platform usage and cross-sell of newer use cases like conversion, analytics and personalization that were previously served by the third-party cookies. In addition, our industry authentication solution significantly accelerates our international expansion efforts and opens up new addressable markets in geographies we have not historically served. Just two years ago, we were in the U.S., UK, France, Australia and China. Today, our geographic footprint also spans Spain, Italy, Germany and Japan, and continues to grow. We're at critical scale today with the Authenticated Traffic Solution and global adoption continues to build. Today more than 400 publishers worldwide have adopted ATS to offer marketers a more efficient way to reach audiences and measure performance. We've supported more than triple the number of ATS enabled campaigns in Q4 relative to prior quarter and more than 100 of our brand customers have already shifted spend to use our industry authentication solution. Most importantly, the industry is embracing ATS because it is a better solution than what it is replacing. Our authentication solution is the only truly neutral omnichannel and global technology available. And as a result, publishers make more money, marketers generate higher returns and consumers gain greater control and transparency over their data. For too long, publishers have ceded control of identity and their first party relationships to the browsers or other platforms that have profited and built segments using publisher data collected via the third party cookies. As the only neutral and media agnostic solution in market, we don't care where or what media is bought. All we want to do is enable the connection of data to inventory where the publisher and marketer wished to transact. This is why publishers like Microsoft, one of the world's largest publishers, are seeing initial results of 40% higher CPMs when leveraging ATS. Marketers, marketers are also seeing better results when using ATS. Forrester recently published a report that independently evaluated ATS performance relative to third-party cookies and the results have verified the superior performance we've generated. Forrester found that advertisers deploying our industry authentication solution can generate a 340% ROI improvement over three years with a payback period of less than six months and a separate series of case studies, a leading international hotel chain, generated a 400% increase in bookings and the well-known consumer electronics brand drove a 200% return on advertising spend when leveraging ATS. These types of results are game changing for our customers. I've often been asked by analysts and shareholders, how we compare against other identity providers that have more recently emerged in the wake of cookie changes. Notwithstanding the fact that we either private label or allow many of these partners to ride in our carriage, we feel we are very well positioned for the future. Two important points: one, we are far broader than alternatives when evaluated by use cases; and two, unlike some U.S. first alternatives, we've built our products for the more exacting privacy standards of GDPR. As a result, we're the only company that offers a truly global capability. We included a couple of diagrams in our appendix that illustrate both of these points. I share this data as evidence of an important theme. We believe industry disruption is a good thing for our business as the resulting uncertainty makes us an even more valuable advisor to our clients and gives us natural opportunities for game changing innovation. Second, revenue growth. On our May call, a year ago, we talked about navigating FY2021 from a position of strength by doubling down on our customers, supporting them through their digital transformations, and by leveraging our durable business model and strong financial position. And we did just that throughout an unprecedented pandemic year. We still grew for the quarter total revenue and subscription revenue were both up 13%. Marketplace & Other also grew 13% driven by Data Marketplace, which was up 25% and benefited from a steady recovery in digital advertising spend. As we look to the future, our confidence is strong. In our last call, we discussed $30 million of revenue we have sun-setted associated with the deprecation of third-party cookies will grow through this headwind as well. Let me share four important proof points. One, we're winning with clients. Q4 represented yet another record bookings quarter with bookings for the quarter up more than 70%. For the full year bookings were up 37%, both pretty remarkable feats, given the macro environment of the past year. This performance is a testament to both the value we deliver to our customers and our commercial team’s relentless focus on execution and customer success. Two, we're winning with the largest companies while our net customer adds metric has been pressured given the pandemic, the new logos added over the last year are more strategic and have the sophistication to leverage a wider set of our product capabilities. As a result, the average ACV of a new logo brand deal in FY’21 was 50% larger than it was a year ago. Three, we're building stronger selling capabilities. We're leveraging subject matter experts, a more disciplined approach to global account planning and it continued focus on white space analysis. In addition, over the course of the last year in response to continued client requests, we launched a services business while this does not represent meaningful standalone revenue, it allows us to educate our customers while helping them use LiveRamp more effectively. We're pleased with our progress today. Inside of our overall bookings performance upsell bookings were up 75% and we closed a record number of global deals in FY’21. Fourth, most importantly, we're well positioned for the future. In fact, recent conversations with customers and prospects make me confident, our long-term opportunity is even bigger than what we had first envisioned. Our vision is to make it safe and easy for companies to use data. We did this initially by pioneering data onboarding, bringing our customers’ offline data online to improve cross channel advertising. While this remains a critical need for any customer-centric business, increasingly we are discovering and our customers are discovering new applications and new markets for our products that even a few years ago would not have seemed possible. You see this momentum reflected in both the steady growth and average brand ACV, which was up 28% in F1’21, as well as in the continued strong growth of $1 million plus customers, which totaled 70 plus at the end of the year. There are so many great recent examples of our growing role across the enterprise. And I'd like to highlight a few today. In Q4, we signed a multi-million-dollar new deal with a leading insurance provider and one of the largest advertisers in the U.S. In addition to leveraging LiveRamp to activate data-driven media campaigns, this organization wanted to develop a more sophisticated first-party data and identity strategy. They are using Safe Haven to unify their data assets and stand up a measurement and analytics environment to better understand the return on their media investments. And in particular their advanced television spend, the advance of the upfronts. A second example is with a multinational automotive manufacturer who has been a customer for several years. We significantly expanded our partnership with this customer in the quarter to help them build out their identity infrastructure. Once again, they are leveraging our safe haven capabilities to unify data across their different business units, dealership networks, and agency partners, to create a more holistic and connected view of their customers that they can then activate for display and social targeting via ATS. A final example is founded on the successes we've recently experienced with the consumer packaged goods sector. Our success in retail encourages growth in packaged goods and vice versa. In fact, two of our largest upsell deals in the quarter were with top 50 global CPG brands to enable onboarding to multiple digital and connected television destinations, cross-channel analytics and data collaboration. Third, operating strength. While, Warren will dive into our operating performance in more detail in his remarks, I did want to briefly touch on this third key investment theme. As is the case with most SaaS businesses, LiveRamp’s model exhibits, initial fixed costs with strong marginal economics and scale benefits. We saw this on display throughout FY2021. I am pleased to share that this quarter marks our fourth consecutive quarter of operating profit. And for the full year we generated $16 million of operating income. In FY2022, we plan to increase our rate of investment in R&D to capture our growing Safe Haven and CTV opportunity and expand our identity advantage. As we invest, we will deliver durable growth while also maintaining profitability. In summary, looking back on the past year, what we feel more than anything is gratitude. Thank you. Thank you to our employees, customers, partners, and everyone else in the LiveRamp community for your ongoing support and hard work. Our strong execution and progress despite the unique macro challenges of FY2021, give us even greater confidence in our future. First, the market forces that have driven our success to date are gaining momentum, businesses today must be digital first, and data driven and how they deliver customer experiences. And LiveRamp is playing a critical role in enabling both of these trends. We are strongly and strategically positioned for long-term success. Second, we're winning with clients and are well positioned for growth. Third, the strength of our operating model allows us to invest from a position of strength. Finally, but importantly, the recurring nature of our business gives us visibility and confidence about FY’20 and we look forward to updating you on our continued progress in the quarters ahead. With that, I will turn the call to Warren.
Warren Jenson: Thanks, Scott. And good afternoon, everyone. And thanks for joining us today. Q4 was a solid quarter, and even more importantly, we enter our new fiscal year from a position of strategic strength and with momentum. Today, I would like to focus my remarks on three areas. First, share a few highlights for the year in Q4, next discuss a few specific call-outs for the quarter, and finally talked about our momentum and provide guidance for Q1 and FY2022. For the year and one of the most challenging business environments LiveRamp had a solid year. We grew total revenue was $443 million, up 16%. We expanded gross margin. Our gross margin was 73%, up 600 basis points. We were profitable not only for the full year, but in every quarter to. Put some perspective on our operating performance on a $62 million increase to our top line, gross profit increased $69 million and our bottom line improved $80 million. While our expenses benefited from COVID-related savings of approximately $25 million, no matter how you sliced it, the strength of our model was clear. And finally, we returned capital to our shareholders. During fiscal 2021, we repurchased 1.3 million shares for $42 million. Please turn to Slide 4. In the fourth quarter, total revenue was up 13% and subscription revenue also increased 13%. Overall marketplace and other revenue was also up 13%. Data Marketplace, which represents roughly 75% of ongoing Marketplace and Other revenue was up 25%. Customer counts were again up. In the quarter, we added 15 net new subscription customers. And as Scott mentioned, we had a record bookings quarter driven by our expansion levers Safe Haven and CTV. Current RPO or our next 12-month backlog, was up $25 million sequentially. As a reminder, timing of renewals can and will cause volatility in this metric. ARR ended the quarter up 13%, and net retention was 101%, while platform net retention was 104%. As a reminder, both our ARR and retention metrics were pressured by contraction associated with a few wholesale arrangements. In the quarter, this wholesale contraction had a $5 million impact on ARR and impacted our retention metrics by 2 points sequentially. Beneath the top line, our business model is working and the trend lines are clear. One of the quarter gross margin improved 300 basis points to 74% again another record for standalone LiveRamp. Productivity was driven by continued identity graph and hosting optimizations. We were profitable again in Q4. In the quarter, we estimate COVID-related savings to then roughly $8 million. Operating cash flow was negative $18 million, and free cash flow was also negative $18 million. Two additional callouts, in the quarter, we proactively took steps to take advantage of the loss carryback provisions of the CARES Act. As a result, we accelerated vesting of non-NEO equity awards scheduled to vest in the first half of Fy2022. This increased our quarterly charge for stock-based comp by approximately $23 million in Q4. And secondly, we prepaid certain qualifying service fees. This timing difference negatively impacted Q4 cash flow by approximately $20 million. While these timing related actions negatively impacted our Q4 GAAP operating results and cash flow, they created meaningful shareholder value. As we now expect to receive a tax refund of roughly $28 million after we filed our tax return for FY2021. Next, while we did not repurchase any stock in Q4, we have been in the market subsequent to quarter end and it repurchased approximately 275,000 shares for $13 million. In summary, we did what we said we would do in FY2021. LiveRamp delivered a solid growth year and a strong operating performance. Now on the guidance for Q1 and FY2022, before jumping into the numbers, I’d like to talk about the strength of our foundations and our momentum heading into FY2022. First, our foundations are strong. ATS is now adopted by more than 400 publishers worldwide, and is the only solution in market that is truly omni-channel and global. And it works. It’s a better solution than what it will replace. This year we strengthened our platform. We made significant investments in platform usability, scalability, and privacy preserving technology. Next momentum is building. First, we acknowledged the $30 million wholesale contraction is pressuring growth metrics in FY2022. However, underneath this headwind, we have a very healthy business. Bookings have been strong in particular the last two quarters. Second half bookings were up 52% and for the year up 37%. International is rounding the corner. While bookings growth will proceed revenue growth, second half bookings increased 190% and for the year were up more than 85%. At the end of FY2021, we were supporting customers in over 10 different markets with plans for further expansion in the year ahead. Next, our key expansion levers TV and Safe Haven are on a role. TV bookings in the second half of FY2021 increased over 80% and for the year were up more than 150%. ARR is up 61%. And as we approach the upfronts momentum continues to build from both the buy and sell side. Safe Haven, second half bookings were up over a 100% and for the year up over 150% and FY2021 both ARR and revenue were up well in excess of a 100%. Safe Haven is global roughly one-third of our FY2021 Safe Haven bookings came from outside of the U.S. Safe Haven is an enterprise platform. When customers deploy Safe Haven functionality, they are addressing a set of use cases that leverage all of LiveRamp’s capabilities, which often extend well beyond media. Our Safe Haven platform is now being used by more than 45 brands and has contributed meaningfully to the ACV expansion Scott mentioned. Further, we are building a strong network effect. In other words, our retail and CPG flywheel is taking shape. In the U.S., we now serve customers representing 30% of U.S. grocery and big-box retail. And in Europe, customers representing roughly 7% of grocery and big-box retail and we serve more than 30% of the 50 largest global CPGs up from 20% just three months ago. And finally, the operating characteristics of our business are very clear. Our gross margin is approaching our long-term target. We have demonstrated phenomenal operating leverage and we have shown we know how to be profitable. Add it all up with the oldest scales tip in favor of LiveRamp. Now on to guidance, please turn to Slides 12 and 13. For the first quarter we expect revenue of up to $112 million and a non-GAAP operating loss of up to $2 million. For the full year, we expect revenue of up to $509 million or roughly 15% growth and to be slightly profitable on a non-GAAP basis. Please keep in mind this guidance excludes intangible amortization, stock-based comp and restructuring related charges. A few other callouts for Q1 and the full year, for Q1, we expect subscription net retention to be roughly 96% and platform net retention to be approximately 102%. Please note that in Q1 wholesale contraction will negatively impact our revenue growth rate by approximately 8 points and our retention metrics by roughly 10 points. We expect net retention to recover throughout the year. In Q1, we expect gross margin to be roughly 73%. For the full year, please turn to Slide 14. On this slide, we tried to highlight the positives and the challenges. Again, we acknowledged that the $30 million wholesale contraction will pressure growth metrics in FY2022. However, underneath this headwind, we have a very healthy business and good line of sight to our guidance. Excluding the $30 million impact, for the year, we expect total revenue growth to be an excess of 20% and subscription revenue growth to be approximately 25%. For the year, we expect gross margins to hold roughly flat at 73%. And lastly, we intend to increase our investment in R&D to further capture the global Safe Haven and TV opportunities. Given the strength of our recent bookings, we have good line of sight to accelerating international revenue growth in the back half FY2022. In addition, we expect revenues from both Safe Haven and CTV to double in the year ahead. Before opening the call to questions, I’ll close with a few final thoughts. Through the challenges of this past year, LiveRamp again delivered on its commitments. Our foundations are strong. We have consistently demonstrated an ability to navigate change to ensure our customers are competitive and can use data to create lasting and personal relationships with our customers. Our technology is world-class and it’s only gotten better this past year. Our growth engines are finding their strive, Safe Haven and TV are on a global role. And finally, our model works, growth, strong gross margins and demonstrated profitability. We are confident that over time, our model will generate significant returns on invested capital. Thank you for joining us today. Operator, we will now open the call to questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Shyam Patil from SIG. Your line is open.
Shyam Patil: Hey, guys. Congrats on the great fiscal year. I had a couple of questions. Maybe the first one on CTV, could you guys talk a little bit about the scale that you’re seeing with this business. And maybe elaborate on some of the trends and kind of how you think about the privacy changes that are coming up and how they impact that business. And then second question Warren, when we look at the revenue guidance for fiscal 2022. Of the $509 million, you’ve guided to, how does that break out between subscription and marketplace. And how should we think about the quarterly impact of the cookie-based revenue throughout the year?
Warren Jenson: Right. Let me jump in on the first question. And then Scott, I’m sure we’ll want to talk about the trends and I’ll come back to the guidance question. It’s really interesting, what’s going on inside of TV as the Connected TV business just is doing extremely well. If you take a look at our growth during the quarter, it again was strong and we expect another great year next year. In fact, as I mentioned in the prepared remarks, we would expect that business to more than double or to double next year. Right now, Connected TV is about 50% of total, if your forecast through the end of next year should be about 70% of total as the transactional or the linear transactional portion of the business will become less of a factor.
Scott Howe: And to your point about mega trends, there’s three that we really see and hear a lot in the market, particularly now, because we’re in the middle of the upfront season. Number one, I think we’re seeing a growing trend towards cross screen purchases. And that really benefits LiveRamp, because we’re unique in our ability to connect different packages and really allow advertisers to determine their holistic return on a cross screen spend. Second is the importance of first party data. More and more advertisers are realizing that their own first party data is one of their most valuable assets. And to the extent that they can deploy that and purchasing television, well, that is only going to make their television dollars stretch a lot further. And then the third is accountability. It’s so important coming out of the crazy year we just experienced, not surprising, many advertisers are trying to figure out how to make every dollar of their marketing plan accountable. For a long time, television has been the big question mark. It works, you just don’t know what elements work. We’re seeing that change through the advent of measurement. And again, that really plays to our strengths.
Warren Jenson: And then, let me jump in on the phasing. In our slide deck, I didn’t make reference to this in my prepared remarks, but on Slide 19, we’ve laid out the quarterly impact of the wholesale transaction, wholesale transaction contraction, if you will. A shorthand in terms of looking at total revenue, it’s about $8 million a quarter, looking at subscription revenue about $8 million a quarter comes down a little bit in Q4. ARR in Q1 and throughout the year, again, through lease Q3, will impact ARR by about $30 million. And then again, as I mentioned in the prepared remarks about 10 points in Q1, it’s impacting our net retention metrics. On your other question relative to the mix, think about subscription marketplace, roughly being 80-20 as it has been historically.
Shyam Patil: Great. Thank you guys.
Warren Jenson: Thank you.
Scott Howe: Thanks, Shyam.
Operator: Your next question comes from the line of Stan Zlotsky from Morgan Stanley. Your line is open.
Stan Zlotsky: Perfect. Thank you so much guys. And congratulations on a strong finish to a challenging year. I wanted to go back to the large customer metrics and the 70 customers that you finished with the greater than $1 million of subscription. If you look at it sequentially, right, five new logos added sequentially really demonstrates the strategic nature of the product is the most that you’ve added sequentially since Q3 of fiscal 2020. Is there something specific that happened in the quarter that drove so many customers above that $1 million, special is something that you were doing yourself or is it just organically as people were coming to LiveRamp?
Warren Jenson: Well, I think ultimately it’s a sign that we’re innovating and creating products that our customers want to buy. And as a result that allows us to command a higher price point, a higher ACV for some of our new logos. And certainly we had a lot of success in the quarter with upsell, some of that forced by the hand, we were dealt with the pandemic. But if you think about the things that we’ve developed over the last year, ATS breeds accountability and we don’t necessarily see that in the numbers, so much yet, because it’s still early in terms of adoption, but that will drive overall platform economics. Safe Haven, just a phenomenal introduction, a lot of success last year and that tends to be a much bigger price point and pull through other products. Connected television, such an easy upsell to a lot of our clients aimed at one of the biggest components of most advertisers media spend. In the coming year, we’d like to see that ACV trend continue. But quite frankly, when I looked at the number of net ads, I think that’s an opportunity for us as travel opens up out of the pandemic.
Stan Zlotsky: Got it. That’s very helpful. And I wanted to get back to the $30 million impact from this wholesale contract – contracts rather than are flowing out of revenue, thank you Warren, for giving the disclosure of the 5 million impact in Q4. Help us to characterize, was the 5 million impact in Q4 was it larger than you expected, was in-line with what you expected and just overall pacing of the 30 million flowing out of the numbers? Are you seeing that change versus how you initially thought about it or is it kind of proceeding along as you thought?
Warren Jenson: No. Great question Stan, I'd say exactly as we thought. We felt when we gave our guidance this last quarter, we had a very good handle on exactly what it would be and there has been absolutely no change to that. So again, I'd just reiterate from the first point I made during the call, expect ARR to decline about 30 million, roughly 30 million in Q1 and that will trend through Q3 and then it drops to about a $25 million impact in Q4.
Stan Zlotsky: Got it. And when you talk about those $30 million wholesale, is there anything that's left over after fiscal 2022 into fiscal 2023, was that most of it already gone out of the numbers afterwards?
Warren Jenson: You know, again as we mentioned on our last call and just to reiterate something that we set up here, I guess a few months back, we went through line-by-line every one of these relationships, because they're complicated, we do a lot of things, and we took a very methodical look at every element of these relationships and then forecast what the declines would be, which led to the 30 million. We also said that as we looked at the out years, we thought there could be as much as $15 million of incremental impact beyond FY 2022, but then also highlighted, obviously we have a lot of other growth initiatives in place that we hope that doesn't even become a factor as we move into FY 2023.
Stan Zlotsky: Perfect. Thank you so much, guys.
Warren Jenson: Thank you, Stan.
Operator: Your next question comes from the line of Brian Fitzgerald from Wells Fargo. Your line is open.
Brian Fitzgerald: Thanks guys, with the recent release of iOS working fine, there’s been a couple of different narratives emerged really about consumer opt-in rates. Some saying those rates are actually very high or saying quite low. So wanted to know if you could provide some insight into what ATS publishers and brands are seeing in the iOS environment. And then, we also wanted to ask about your customers’ ability to drive opt-in rates higher over time. We know on the new iOS Virgin, theirs is really only – there will be one chance to ask for that up and whereas, it's more open-ended than other environments, four shots on goal, if you will. So are your customers seeing a higher share of syndicated traffic over time as they get more chances to ask for consumers to authenticate? Thanks.
Scott Howe: Brian its Scott, first off I would just remind everybody we're so much broader than mobile or any one channel like programmatic or anything like that. Our advertisers, marketers, when they work with us, they're using us to use their data across all kinds of different touch points. And so importantly, what I want everyone to understand is that, all the impacts of IDFA, we feel are immaterial to Liveramp, both in terms of our ability to reach our customers’ target audiences and there we do not expect any financial impact of ATT or IDFA. I looked at the numbers just yesterday and I looked since the implementation of ATT, what is the impact on our customer records and it has not changed one IOTA over the past few weeks. In terms of the opt-in or opt-out rates, I only know what I read and what I hear from clients, because that's not something that we see, remember we're not a media player. We're not an application provider. So we wouldn't necessarily see that. I've seen estimates that are pretty low in the single digits, I've also seen a slate of recent articles and what I would tell you is our clients seem to think this as well, that suggests that those numbers will be much higher. What I would also tell you is that, both based on what we've seen in display and then what we've heard from app providers, they are getting much better at telling the authentication story, i.e., making it really clear what the value exchange is, and enticing customers to be excited about that. And so at least in the display space we've seen and heard from our clients that authentication rates are going up. The last thing that I would tell you is, it might come as some surprise, but you don't need very high authentication rates to really move the needle from a publisher yield perspective or from a marketer efficacy perspective, authentication rates of even 10% or 15% drive meaningful upside. And so when we see publishers that many cases are far higher than that, we published a case study of Microsoft talked about 40% yield improvement across their traffic. We think that there's a lot of reason for optimism amidst all the noise.
Brian Fitzgerald: Got it. Thanks Scott. Appreciate it.
Operator: Your next question comes from the line of Kyle Evans from Stephens. Your line is open.
Nick Zangler: Hey, guys this is Nick Zangler on for Kyle. On the guide for FY 2022, can you help bridge the FY 2021 FY 2022 here? So we've got a 15% growth in revenue, inclusive of the $30 million headwind, this third-party cookie sunset, operating income is going from 16 million to 2.5 million at the midpoint. Can you just help us better understand the investment that's taking place in FY 2022? Of the 25 million in savings you talked about from COVID, what comes back there and then any expenses associated with the cookie sunset that can be removed in FY 2022.
Scott Howe: Great. Thanks Nick. A few points in there that are pretty interesting is, I think if you look at our results over the past year, you'll really see the progress we've made in COGS, again given the margin expansion, and a lot of that has come through rationalization of our costs. So we continue to look for opportunities and would expect opportunities throughout the course of the year. Two, in terms of COVID phasing, again we'll see exactly how this comes out. But the 25 million, I'd expect maybe $1 million of that to come back Q1, a couple of million Q2, maybe $4 million or $5 million Q3 and call it $6 million, possibly $7 million or so in Q4. We like many others expect that not all of those costs are going to come back. We think we have a real opportunity to better manage our T&E, do different things that will really drive the savings while not impacting our effectiveness at all. So we think that'll be upside permanently embedded into our run rates. On the bottom line where we do expect to invest this year is in R&D and to some lesser extent in sales and marketing. The reality is we just see a tremendous opportunity in front of us in both Connected TV and then also in global Safe Haven. And I might even just pause there and elaborate for a second. I don't think it's lost on anybody on this call that retail media networks are just blowing up. The great news is we are a pioneer in this space. Our Safe Haven platform was built with Carrefour. pretty close to four years ago, and it's only gotten better. And as a result of that, we've been able to create the share that we have. We think it's an incredible accomplishment to have a segment share of 30% of grocery and big box retail in the U.S., and even 7% in Europe. Further, our business is expanding dramatically with the CPGs around the world too. So we're incredibly excited. Net-net any additional costs will principally come in the form of incremental R&D to sales and marketing, as you would expect, but to a lesser extent in very modest amounts in G&A.
Nick Zangler: That's super helpful. And then, I wanted to talk on – or ask on the ATS solution here. I would imagine that any publisher who's put up a registration wall, maybe in response to the elimination of third-party cookies is doing so in an attempt to monetize their inventory and therefore would be an easy sell for LiveRamp to incorporate ATS. So the question is, is there any reason why a publisher who has gone ahead and put up that registration wall is hesitant to link up with ATS?
Scott Howe: There's really not. I would say that there are two drivers to fulfilling kind of universal adoption. One is just readiness. And so believe it or not, despite all the commentary from Google about adhering to their February 2022 timing, there are still some publishers that haven't moved as aggressively as we think they should in terms of testing than authenticated solution. And the reason is pretty simple. I mean, a lot of those publishers don't have a lot of operational resources. And so this is just stacked a little bit lower in their queue, and they think they'll play catch up later in the year. There's another group of publishers, and they're not the top 50. I want to say when we looked at the analysis a couple months ago, I'd say like 49 or something of the top 50 publishers in the U.S. have put up some form of authentication, but there is a group of publishers that comprise at least a slice of programmatic today. We've never worked with them that really don't have the quality content to entice the consumer to sign up for a fair value exchange. I think those publishers are in trouble and quite frankly, I don't think anybody's going to shed any tears about them. They tend to be the clickbait publishers of the world. So there's a flight to quality here, which will be good for the industry.
Nick Zangler: Great. Very interesting thought. Thank you. I appreciate it.
Operator: Your next question comes from the line of Jack Andrews from Needham. Your line is open.
Jack Andrews: Good afternoon. Thanks for taking my question. I wanted to ask you, if I could ask you a couple of questions on Safe Haven. I guess, could you talk about how you see the market opportunity of Safe Haven? Is this largely Greenfield, or are you running into other potential competitors like Snowflake in this market? And then – and just the related question is, could you maybe frame for us what percentage of your customer base could potentially consume Safe Haven or set another way? Are you seeing maybe Safe Haven lead to net new customers for LiveRamp overall that you have been able to appeal to historically?
Warren Jenson: Well, there's some great questions. So let me start with the last and then work my way to the first. When we look at our customers and we look at the functionality of Safe Haven, plus what we are in – what we will be building over the next 12 to 24 months, we feel at 100% of our customers can adopt Safe Haven and use this platform. So we see an enormous opportunity. We measure our TAM north of probably roughly around $16 million and it just gets bigger every day. It's not only about retail media. In retail, it's also becoming about category management in-store promotion, how store managers are using that data to better manage their selections on a day-to-day basis. So, the opportunity even inside retail just continues to get bigger. Secondly, we've begun penetrating in healthcare, and financial service is not too far ahead of us either. So we see the market as being in a very, very large and us really at the beginning. One of the biggest advantages we have and I'd really cite three advantages that are really unique to LiveRamp. The first is privacy, our skills and privacy, and then what we're doing with data fleets and private privacy preservation and the non-movement of data are second to none. Secondly, identity, everything that Scott's talked about relative to identity and what we're doing with ATS positions us in a very, very unique way. Third, there are other providers out there that approach really data collaboration, more as a service. We have built a scalable SaaS platform that will scale with demand. So a retailer doesn't want just one to one platform. They want one to many. They want their entire supply chain, which is why we feel so optimistic around our opportunities, not only in retail, but also how they translate to CPG. When it comes to Snowflake, we think they're very complementary. So in a number of cases, we just see them as being very complementary solutions and not at all competitive.
Jack Andrews: Thanks for the color. Congratulations on the results.
Scott Howe: Great. Thank you.
Warren Jenson: Thank you.
Operator: Your next question comes from the line of Tim Nollen from Macquarie. Your line is open.
Tim Nollen: Thanks. I just have one other numbers question and I hope I didn't miss it earlier. But you were talking about your net retention rate going down to the 95 range. I think you said for Q1 and then improving from there. Can I just ask, will we be back above 100% by the second half of the year? And I think that 95 included 10% from this drop down that you've mentioned a few times now, the last two or three quarters. If we are back over 100, add 10 that are we back into 115, 120 range over the next few quarters?
Warren Jenson: Let me to take each of those questions. So our guide for Q1 was about 96, not 95, again, a 10 point impact from the wholesale contraction. As we look to the back part of the year, I think we can again – we're not going to make it a practice to give long-term retention guidance, but we see it improving steadily. And by the back part of the year, yes, north of 100 is to our long-term goals, that is our intention. We're not satisfied anywhere down in this 100 to 105, 110 range, would like to see that accelerate as we move forward into in the coming years.
Tim Nollen: Thanks.
Operator: Your next question comes from the line of Jason Cryer from Craig Hallum. Your line is open.
Jason Cryer: Hey, thanks guys. Just wondering if you can break down the record booking figure, and then kind of give us the key drivers there. And then regarding ATS, obviously that's bringing in new logos, but as that progresses and kind of what the route to market there, how do you take that product and in generate kind of accelerating revenue growth for a product that you're not specifically charging for?
Scott Howe: Let me take the first on bookings. Really the two principal drivers we've already touched on and those would be Safe Haven and then also connected TV as the growth rates for obviously terrific, relative to the year-over-year comps in bookings. I think the other thing that bodes well, which I'll just reiterate for everyone is our second half bookings have been very, very strong. And throughout the years we lapped some of the earlier quarters, you're going to see that show up in all of our metrics. So we're optimistic. And then our ATS from the start we've pledged interoperability. I mean, our goal here is to really build a solution for anyone and everyone in the industry, but that's not to say that we don't see an opportunity for us there. I think as ATS adoption becomes really ubiquitous, it's an opportunity for advertisers everywhere to take advantage of their first party data. And as they do so, they'll find us and become our new subscription customers, and as they have success in say programmatic, there's really no limit to what they can do. I think in one of the appendix slides, I laid out a schematic of all the different used cases that ATS offers. I often talk about ATS and LiveRamp, we're really the entire pool, and there are many other identity solutions that with which we're interoperable; oftentimes they represent just a single swim lane. So as they succeed, we succeed and as we succeed, hopefully we drive their success. But success in programmatic or in display media or in mobile can lead to call centers or point-of-sale activation, CTV, certainly. So we think that this is a really important way to get the flywheel going for us.
Jason Cryer: Hey, Scott, one follow-up there: Just in regards to your comment on first party data. Can you just talk about the market opportunity that you see for this portrait engine solution?
Scott Howe: Yes. I'll tell you, I think it really goes back to my prepared remarks on the fact that regulation and the complexity with it really benefits us strategically, as there's more heightened regulation it forces a lot of companies to really think about what is their most valuable asset from a data perspective. So often it is their own authenticated, permissioned first party data, and that stands to reason because those are the customers that, that client knows the best. They're the repeat customers. And so to activate that information and use that as a starting point of everything you're doing online, that is a really easy and effective way to get started. Our portrait engine really is focused on the concept of first party data and first party identity, and using that for any company, that's not yet sophisticated about data to dip their toes in the water and get started. So I'm pretty optimistic about what this can be for us in the coming years.
Jason Cryer: Thank you.
Operator: Your next question comes from the line of Daniel Salmon from BMO. Your line is open.
Daniel Salmon: Hey, good afternoon, everyone. Two questions, Scott or Warren. First, could you just update us on your search for a new head of the Salesforce? And then second, to either of you again maybe Scott, could you return, you mentioned that the creation of a services arm, I'm just curious what prompted that decision now and what you're hoping to achieve out of that new initiative more broadly? Thanks.
Scott Howe: Sure. So on the first; I'm really pleased with what our team's accomplished. I mean, we really haven't missed a beat over the last couple quarters. As James was transitioning to his new role of spinning up the cloud-based partnerships and that's off to a great start. But we've posted our strongest two bookings quarters in LiveRamp's history, the team is really doing great. It's given me a chance to spend even more time with clients and that's the best part of my job. So it's been super energizing. At the same time conducting the search itself has been equally energizing. We've been using one of the big search firms. I personally interviewed over 30 external candidates. It's given me a great chance to mine them all for their best ideas. And I would say we're closer to the end of the process than we are to the start of it; but I would tell you, I feel like we have nothing but good options. This is going to end well for us. On the services front like we do with a lot of our product innovations, we listen to our clients and for a couple of years now we've heard from our clients that they really need some help getting off the ground. You've heard me say this before Dan, that so often the biggest complaint we have is, it feels like you sold me a porch, but I don't know how to drive stick. Well, I starting up a professional services arm we can educate our clients about how best to use LiveRamp, and for some of our newer products like Safe Haven, that's so important because not only is the product a little bit more complex than our norm. But the clients using that are operating at the very edge of sophistication. And so the collaboration that we can have with them just allows them to get up and running far more quickly. Most other SaaS companies have much bigger professional services businesses than we do. I think in hindsight, I'm kind of kicking myself for, why we waited so long, because this is off to a really good start for us.
Daniel Salmon: Great. Thank you, Scott.
Operator: There are no further questions at this time. I turn the call back over to Warren Jenson for closing remarks.
Warren Jenson: Great. Thank you, operator, and again to all of you on the call, thank you so much for joining us today. Let me close with just a few quick final thoughts. First and most importantly, we all want to really acknowledge and thank our wonderful customers for their support during this past year and all they do to make our products great and help us be better every day. We're grateful to serve you. Secondly is to thank our associates. There's one reason why we, again delivered on our commitments and that's the people of LiveRamp. So to all of our associates, we also really extended the big, strong, thank you and are incredibly grateful. When we think about our road ahead, I'd leave you with these thoughts. Again, our foundations are strong and even more importantly or as importantly, we're a company that has consistently shown an ability and demonstrated an ability to navigate change, to ensure our products are viable and that our customers are competitive. And we think that's a big deal. Our technology is world-class and has just gotten better. This past year, our growth engines are finding their stride and our model works. Again, thank you so much for joining us today. We look forward to your follow-up questions.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.